Operator: Greetings and welcome to the Norwegian Cruise Line Holdings Third Quarter 2024 Earnings Conference Call and Webcast. At this time all participants are in a listen-only mode. [Operator Instructions]. As a reminder this conference is being recorded. It's now my pleasure to turn the call over to Sarah Inman, Head of Investor Relations. Please go ahead, Sarah.
Sarah Inman: Thank you and good morning everyone. Thanks for joining us for our third quarter 2024 earnings and business update call. I'm joined today by Harry Sommer, President and CEO of Norwegian Cruise Line Holdings and Mark Kempa, Executive Vice President and CFO. As a reminder this conference call is being simultaneously webcast on the company's Investor Relations website at www.nclhlpd.com/investors. Throughout the call we were referred to a slide presentation that can be found on our website. Both the conference call and presentation will be available for replay for 30 days following today's call. Before we begin, I would like to cover a few items. Our press release with third quarter 2024 results was issued this morning and is available on our website. This call includes forward-looking statements that involve risks and uncertainties that could cause our actual results to differ materially from such statements. These statements should be considered in conjunction with a cautionary statement contained in our earnings release. Our comments may also reference non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release and presentation. With that I'd like to turn the call over to Harry. Harry?
Harry Sommer: Well, thank you Sarah, and good morning, everyone. Thank you for joining us today for our third quarter 2024 earnings call and Happy Halloween. I'm extremely pleased with our results as Norwegian Cruise Line Holdings continues to make steady and meaningful progress driving and leveraging the strong demand environment, while delivering exceptional vacation experiences all while effectively controlling our costs thanks to the dedicated efforts of our shipboard and shoreside teams. I am delighted to say for the third straight quarter we have achieved results that surpassed our guidance across all key metrics which has led to an increase in our full year guidance for a fourth time this year. These results demonstrate how our strategic direction is yielding positive results now and positioning us well for the future progressing steadily towards our 2026 financial and sustainability targets. As you recall from our Investor Day earlier this year we unveiled our Charting the Course strategy with the vision to have our guests vacation better and experience more and which focused on what I refer to as the four p's people, product, growth platform, and performance. I would like to take the opportunity today to share our progress on several fronts of this strategy. I'll begin my remarks by highlighting our performance pillar through both our strong third quarter results and providing an update of our full year outlook. Next, I'll discuss recent developments in our exciting new build program part of our growth platform as well as new initiatives on all three of our award-winning brands part of our product pillar. I will also comment on the strong demand we are seeing and how our onboard offerings and service quality continue to drive improved guest satisfaction, while maintaining disciplined cost management, the balancing of return of investment, and return on experience that is one of the core tenets of our strategy. And last but not least, I'll cover some of the key advancements in our sustainability efforts which underpins each pillar of our strategy. I'll then turn the call over to Mark, who will provide more detailed commentary on our results and updated guidance. First, I am pleased to report that our strong momentum for the first half of the year a combination of the continued focus and execution by our teams on our strategic initiative and successful cost efforts coupled with sustained robust demand has continued into the third quarter resulting in exceptional performance. As illustrated on the Slide four we not only met but exceeded our guidance across all key metrics for a third straight quarter. We achieved the highest quarterly gross revenue and adjusted EBITDA in our company's history and the highest trailing 12-month adjusted operational EBITDA margin since returning to regular operations improving almost 10 full percentage of points from the third quarter of last year. Our adjusted EPS increased 31% to $0.99 well ahead of our guidance of $0.92 despite a $0.06 negative impact from foreign exchange rates and our higher adjusted EBITDA drove net leverage to end the quarter at 5.58x an approximate one- and three-quarter turn improvement over just the last nine months from year-end 2023. Slide five lays out the effect of our strong third quarter guidance third quarter results on our full year guidance. While Mark will provide more detailed commentary shortly, I would like to highlight a few key points on our full year numbers. We are projecting net yield to increase 9.4% this year marking 120 basis point improvement from our previous guidance as we carry forward strength from the third quarter and raise our fourth quarter guidance. This impressive growth is expected to be a record for the company since going public in 2013 and is truly exceptional. Our adjusted operational EBITDA margin is expected to improve to 35.3%, 4.6 percentage points over 2023 and a significant step towards our goal of approximately 39% in 2026 driven by strong top-line growth and our flat adjusted net cruise cost excluding fuel and dry dock during the year. We expect our adjusted ROIC to close the year in the double digits, an improvement from 8% in 2023 demonstrating we are well on our path to 12% by 2026. And lastly, we expect our net leverage to further decrease to approximately 5.4x by year-end a major step towards achieving our 2026 target of mid 4x. Each of these year-end metrics demonstrates that we are on track to achieve our 2026 charting the course targets and reinforces our confidence in our strategic direction and ability to execute. Turning to Slide 6 which I know you are familiar with I want to once again highlight how our long-term growth platform pillar is set to deliver measured capacity growth and optimize our fleet to drive strong financial returns. Historically measured capacity growth has driven outsized revenue and adjusted EBITDA growth, and we expect this trend to continue with the additions of new vessels to our fleet. I'll provide more details on these exciting developments as we turn to Slide 7. At Norwegian, we recently unveiled what in 2026 will be the 21st ship in our fleet, Norwegian Luna. This exciting addition will launch a variety of fun and fun voyages sailing round-trip from Miami starting in April 2026. As a sister ship to Norwegian Aqua, Luna boasts exciting enhancements over previous Prima class ships including a 10% increase in capacity, luxurious new three-bedroom duplex haven suites, a groundbreaking hybrid roller coaster water slide that will debut next year on Norwegian Aqua, new activities and games for our guests, and a new revitalized service at the Mandara Spa and Salon and Pulse Fitness Centers. Speaking of Norwegian Aqua, we're making excellent progress towards your launch in early 2025. Earlier this month I visited the Fincantieri shipyard in Italy and witnessed firsthand the impressive final touches being applied to the vessel. I'm incredibly excited for our guests to experience this next generation Prima class ship. At Oceania Cruises, we remain committed to delivering the finest cuisine at sea with new experiences on every new build. In this case, I'm sorry, in the case of the brand's upcoming Allura, we are introducing the Creperie for which Oceania's newly appointed executive culinary directors and resident master chefs of France, Alice Coretti and Eric Burrell, have crafted over 20 exquisite recipes. I'm eagerly anticipating our food loving guests reaction to this new exciting culinary experience when Allura debuts next year, and of course I'll be first in line. Finally, Regent Seven Seas Cruises recently celebrated the steel cutting for its latest ultra luxury ship, Seven Seas Prestige. At 77,000 tons and accommodating only 850 guests, this vessel will offer our guests unrivaled space at sea with one of the highest guest to space ratios in the industry. The ship will introduce exciting innovations including a reimagined palatial region suite, a new set of duplex suites and other accommodation categories, fresh dining experiences and numerous other incredible offerings that will allow our guests to experience luxury transcended. Moving to Slide eight, we have enhanced our offering and partnership building on our bold aspiration for our guests to vacation better and experience more. Norwegian launched its new brand positioning, Experience More at Sea, which underscores NCL's commitment to provide guests with more variety, more to see, more to do, more to enjoy and more value through elevated offerings providing more of what they love while vacationing. The More at Sea offering is an evolution and expansion of the previous Free at Sea package now with an enhanced beverage package, additional nights at specialty dining venues and Starlink high-speed internet. In addition to its new positioning, Norwegian also unveiled its latest partnership as the official cruise line of the National Hockey League. This milestone marks NCL's first partnership with the Professional Sports League and the NHL's first partnership with the cruise line. This multi-year partnership provides a fantastic platform for the brand to connect and engage with hockey fans everywhere and show them how they can experience More at Sea with NCL. Oceania, meanwhile, unveiled its new brand value promise and offering, Your World Included, which features an updated selection of always included amenities for our guests. As part of the new brand promise, guests will now have a generous suite of amenities included in the fare including gourmet specialty restaurants, in-suite dining, prepaid gratuities, gourmet coffees and teas, laundry services and unlimited Starlink Wi-Fi, among others. These enhancements have helped drive increased demand and I'll now discuss our booking trends on Slide nine. Since our last quarterly update in July, the cruise consumer has continued to show strength. This resilience has allowed us to take advantage of the strong demand we experienced in the third quarter. Net yield grew 9% year-over-year and outperformed guidance by an amazing 260 basis points. This impressive performance was largely due to strength in pricing and demand across all geographies, but particularly in Alaska and Canon New England voyages. We also saw strong onboard revenue across the board, particularly in shore excursions and communications, the latter boosted by Starlink, which is already live on 30 of the 32 ships in our fleet and will be rolled out to the entire fleet by year end. In another sign of consumer health and confidence, pre-booked onboard revenue continues to improve up mid-single digits from the previous year and nearly doubling from 2019 levels. Looking ahead, we are at the upper end of our optimal range on a forward 12-month booked basis, and we continue to see strong demand for all brands and deployment with pricing and load for 2025 in line or above this year's levels for all four quarters and full year. Turning to Slide 10, we see the strength of our demand reflected in our advanced ticket sales, which increased 6% compared to the previous year, outpacing capacity growth. This achievement was driven by robust pricing, a dynamic deployment mix, increased pre-sale packages, and capacity growth. Moving to Slide 11, I will now dive into some of our advancements in sustainability, which underpins our strategy. We are committed to being responsible stewards of our environment while creating long-term value for all of our stakeholders and I'm proud to share some key highlights of our progress. This quarter, we received some significant recognition for our sustainability efforts. MSCI gave us a rating of A within the hotel and travel industry for the second year in a row. This recognition reflects our ongoing efforts to integrate environmental, social, and governance factors into our business practices. It's a testament to our dedication to transparency and responsible business practices. Additionally, at the ESG shipping award this year, we were the top-ranked company in the ESG leadership category and the only cruise line to even make the list. This accolade recognizes our outstanding achievements and innovative initiatives within the global maritime industry. It reinforces our position as a leader in sustainable cruising and motivates us to continue pushing boundaries in this area. Operationally, we also made significant strides in our alternative fuel initiatives. 41% of our fleet has now been tested with a biodiesel blend, surpassing our 2024 goal. This achievement underscores our commitment to reducing our carbon footprint and exploring innovative solutions for cleaner operations. Finally, strengthening our communities is a key pillar of our global sale and sustain program, and we are committed to supporting organizations that benefit communities at large. During the third quarter, Oceania successfully launched the Relay for Life at Sea program on Oceania's Insignia and Vista. This initiative focuses on the wellness of our guests and crew by raising awareness through an onboard walk and encouraging donations to the American Cancer Society. We're excited to roll out this program to the remainder of the Oceania fleet later this year, further amplifying its positive impact. Additionally, in the wake of the destruction caused by both Hurricanes Milton and Helene, we contributed $80,000 to the American Red Cross to help those in affected communities. In addition to the $30,000 previously donated to the Red Cross to support Hurricane Helene relief efforts, we are matching up to $50,000 more in public donations towards Hurricane Milton relief efforts. These achievements demonstrate our fulsome and holistic approach to sustainability, encompassing environmental stewardship, social responsibility, and strong governance. As we continue charting the course towards a more sustainable future, we remain committed to innovation, transparency, and creating positive change in the communities we touch. With that, I'll hand the call over to Mark to go over financial results in more detail. Mark?
Mark Kempa: Thank you, Harry, and good morning, everyone. My commentary today will focus on our third quarter 2024 financial results, our increased full year 2024 guidance, and our increasingly solid financial position. Unless otherwise noted, my commentary on 2024 net yield and adjusted net cruise cost excluding fuel per capacity day metrics are on a constant currency basis, and comparisons are to the same period in 2023. Let's begin with our third quarter results, which are highlighted on Slide 12. Starting with the top line, results were very strong with net yield increasing 9%, exceeding our guidance of 6.4% by 260 basis points. Several factors contributed to the strong top-line growth in the quarter. First, exceptionally solid demand and pricing across our deployment, particularly for Alaska and Canada New England sailings across all three brands. Second, we experienced stronger than anticipated onboard revenue across the board, particularly in shore excursions and communications. The benefit of this higher pricing and onboard spend is compounded by the third quarter's seasonally high occupancy, resulting in outsized growth in the top-line and adjusted EBITDA. Moving to costs, adjusted net cruise cost ex fuel per capacity day came in $1 below our guidance of 155. This is primarily due to timing of certain expenses that will now shift into the fourth quarter. This resulted in record-breaking adjusted EBITDA for a quarter coming in at $931 million and surpassing our guidance of $870 million by over $60 million, while increasing year-over-year by approximately 24%. As a result, adjusted EPS was $0.99, exceeding guidance of $0.92 in the quarter, and increasing 31% compared to the third quarter of 2023, despite a $0.06 negative impact from FX in the quarter. We have seen strong results through the first nine months of the year, and along with improved expectations for the fourth quarter, we are increasing guidance for the full year, which I will discuss on slide 13. Looking first at net yield, in the fourth quarter, we are expecting growth of 6.9%, which is approximately 190 basis points better than our implied guidance last quarter. We are increasing guidance based on several factors, strong demand and pricing in the Caribbean, where we have 30% of our capacity in the quarter, and continued strong on-board revenue trends with healthy pre-booking for on-board amenities. These are very strong results considering the impressive 8% net yield growth we achieved in Q4 of 2023, and the headwinds from the rerouted Middle East sailings in 2024, which comprised approximately 10% of our deployment in the fourth quarter, and was disproportionately weighted to our higher-yielding brands. Moving to fourth quarter costs, we anticipate adjusted net cruise cost ex fuel per capacity today to increase by 2.7% to 155 from 151 in the same period of last year, and $1 above our previously implied guidance. This slight increase is mainly due to the timing of certain costs from the third to the fourth quarter, which I mentioned earlier. Excluding the $6 impact of dry docks in the quarter, our unit cost ex fuel will be down approximately 1% year-over-year. Reflecting these positive trends, fourth quarter adjusted EBITDA guidance is increasing to approximately $445 million. These results are driving our adjusted net income to approximately $40 million, and a return to positive adjusted EPS in the fourth quarter, which we expect to be approximately $0.09, considering a share count of $445 million, resulting in a positive adjusted EPS in all four quarters of the year. I want to remind you that at these net income levels, we expect that none of our exchangeable notes are dilutive in the fourth quarter, and there is no related interest expense add-back. Looking at full-year net yield, we are carrying forward the Q3 beat and are increasing expectations for the fourth quarter and now expect the full-year net yield to grow to 9.4%, which is 120 basis points better than our previous guidance and represents a record for the company. For adjusted net cruise cost ex fuel and excluding the impact of our dry docks, our guidance remains unchanged and is expected to remain flat year-over-year, despite the impact of inflation and increased variable compensation due to the strong performance of the business. As a result of the hard work and dedication of the entire organization, we continue to pace ahead of our target to deliver $100 million in savings in 2024. On adjusted EBITDA, full-year guidance is increasing to approximately $2.425 billion, and we have increased full-year adjusted EPS guidance to approximately $1.65, which is a 136% increase over 2023 and marks significant progress toward our 2026, Charting the Course target of approximately $2.45. Slide 14 demonstrates how the hard work put in by our teams across the organization has resulted in significant improvements from our initial guidance to our current expected results for the year. Our full-year net yield growth expectation has increased 400 basis points from 5.4% to approximately 9.4%. We have maintained our cost guidance for the full year, which is expected to be flat year-over-year, excluding the impact of dry docks. As a result, our adjusted EBITDA guidance has increased $225 million to approximately $2.425 billion, and our adjusted EPS is increasing $0.42 to approximately $1.65. This performance stems from our ability to capitalize on strong demand while executing on our cost and efficiency initiatives. As Harry previously mentioned, 2024 is shaping up to be an extraordinary year, surpassing our optimistic expectations with record net yield growth. Looking to next year, based on current booking trends and our booked position, we continue to expect our full-year 2025 net yield will grow consistent with our algorithm discussed at our Investor Day. Now, a couple notes for modeling net yield in the first quarter of 2025. First, while we have a similar number of total dry dock days as the first quarter in 2024, due to the mix of vessels and the number of lower-yielding repositioning days, the number of capacity days related to this is 50% higher year-over-year. Second, as you recall, we had a very strong net yield growth of 16% in the first quarter of 2024, providing for a challenging comp in the quarter. The result of these two factors is that we expect first quarter 2025 net yield growth to come in lower than the full-year average. Looking at Slide 15, I want to dive a bit deeper into our margin enhancement initiatives. As outlined during Investor Day, a cornerstone of our strategy is to boost margins and reduce costs across the organization, while enhancing or maintaining the guest experience and product delivery. Our results speak for themselves, and we expect to continue executing on this algorithm as we close out 2024. We have been able to maintain our cost guidance throughout the year, and we continue to expect that adjusted net cruise cost ex fuel per capacity day, will essentially be flat year-over-year, fully offsetting inflation, as well as increased variable compensation due to strong performance in the year. Our margin enhancement initiatives continue to yield significant results across the organization. As previously mentioned, we are pacing ahead of our target to reach $100 million of savings in 2024, and we remain confident in our ability to achieve our $300 million of savings, which includes certain fuel initiatives through 2026. As we look ahead to 2025, building on our strong performance in '24, we remain committed to maintaining our unit costs below the rate of inflation, which supports our stated 2026 targets. Moving on to Slide 16, we can see how these cost-saving initiatives have positively benefited our margins. The last 12-month adjusted operational EBITDA margin for the third quarter improved approximately 900 basis points to 34.5%, and we now expect the full year to come in at approximately 35.3%. This continued progress sets us up well for our 2026 target and returning to margins of around 39%. Moving to Slide 17, I'd like to highlight the composition of our debt portfolio and some key developments in the quarter. While our leverage is still higher than we prefer, it is crucial to note that 55% of our debt consists of public debt, with the remaining 45% in the form of Export Credit Agency, or ECA financing, which is the primary source of financing for our ship orders. ECAs essentially provide a guarantee by sovereign governments, such as Italy, of the loans we obtain in connection with these ship orders, resulting in financing rates that are much more favorable than that of which would be secured in the capital markets. Looking ahead, we anticipate a gradual shift to a higher proportion of ECA financing as new ships come online and our remaining expected debt matures and/or is repaid. Additionally, we aim to further de-risk our balance sheet as we look at liability management opportunities going forward. We believe our strategic approach will optimize our capital structure and debt profile and continue to reduce our cost of capital over time. This quarter, we refinanced $315 million of notes due December 2024, with six and a quarter unsecured notes due 2030, with the remaining balance of $215 million to be paid at maturity. On slide 18, you can see our upcoming maturities. After we pay down the remaining balance of the $250 million of the 2024 notes in December, we have two components of debt to address on the horizon. First, our 2025 exchangeable notes, which we plan to settle in shares, and second, our $1.4 billion 5 7/8 notes due 2026, which will become current in the first quarter of 2025. Additionally, we have $600 million of 8 3/8 notes, which will become callable in early 2025, that we are evaluating as the rate environment continues to improve. Turning to leverage on Slide 19, we have continued to make progress on our net leverage, which ended the quarter at 5.58x, a 1.75x reduction from 2023 year-end. Moving leverage into the fives is another important step, and we continue to expect reducing leverage for the remainder of 2024, ending the year at around 5.4x, an important milestone in our path to achieving our 2026 target of mid-fours. With that, I'll turn it back to Harry for closing comments.
Harry Sommer: Well, thank you, Mark. I want to close by reminding everyone of the holistic strategy and ambitious targets that we laid out at our Investor Day, which are summarized on Slide 20. We are on track to end 2024 on an exceptionally strong note, marking our best year as a company since we returned to operations, and an all-time record adjusted net yield growth and record adjusted EBITDA. With this performance and our high visibility into future sales, we remain confident in our strategy. Looking into next year, we will continue to drive towards our Investor Day guidance of low to mid-single-digit net yield growth and sub-inflationary unit cost increases, positioning us well to achieve our ambitious 2026 Charting the Course targets. I want to express my deepest gratitude to our dedicated teams, both Shoreside and Shipboard. Their unwavering commitment and hard work have been instrumental to our success. As we look to the future, I'm filled with optimism about the opportunities that lie ahead for Norwegian Cruise Line holdings. With that, I'll hand the call back to the operator to begin the question-and-answer portion of the call.
Operator: Thank you, and I'll be conducting a question-and-answer session. [Operator Instructions]. Our first question is coming from James Hardiman from Citi.
James Hardiman: Congrats on a really strong quarter here, particularly on the pricing front, which is where I really wanted to focus my questions. So if I'm doing the math right here, per diems, we'll call it 5% in the second quarter. That accelerated to 7% in the third quarter, which is obviously exceptional. The fourth quarter guidance, if I'm doing the math right, gets us back to that, call it 5% range, which is really good considering, Mark, just not long ago, we were having the conversation as to whether or not we would even be positive in the fourth quarter. But maybe walk us through some of the non-comparable headwinds and tailwinds of the last couple quarters. I'm just really trying to figure out on an apples-to-apples basis, are per diems accelerating, decelerating, staying consistently strong? How do I think through that?
Mark Kempa: Well, good morning, James, and by the way, nice report that you issued a couple weeks ago. So, listen, I think as we look through to the fourth quarter in pricing, I think you nailed it. When we were talking about this two, three quarters ago, I think implied pricing was somewhere in the zone of flat to down 1%. But there's a couple important things to remind ourselves of that we're challenging or that we're going against. I recall Q4 of 2023, we did have pricing of 14%. So number one, we are rolling over a strong comp, and that translated to a yield of 8%. But we've also been able to continue to see strength in both our near term and Caribbean deployments. So we've continued to build upon that. And then I think what we also need to recall is that as a result of the Mideast disruptions late last year, we had an outsized proportion of our capacity that was originally scheduled for the Middle East in Q4, which represented about 10% of our overall capacity and was disproportionately weighted to our higher ending brand. So given the fact that we're now showing pricing of around 5% yield of almost 7%, I think, we feel this is a great, great improvement, and certainly somewhere where we can continue to build upon.
James Hardiman: Got it. Thank you. And then, I wanted to talk a little bit about the Analyst Day guidance, and in particular that the delta between yields and costs, which I found to be a pretty helpful sort of rubric. As of the Analyst Day for this year, that delta was maybe 4%, not even, it now stands at 6%, right, if you're going to grow yield 9.5 and cost 3.5, call it. You're looking at a 6% delta. I guess as we roll that forward to next year, does that make it more difficult to see significant deltas? And in particular, your 2.5 point, it seems increasingly likely that you're going to do that over the three-year period. But is that even possible as we think about 2025? Basically trying to figure out if there's been some pull forward of that. Because ultimately, if you maintain that delta, I think you're going to comfortably exceed that 245 earnings target for 2026.
Harry Sommer: Sure, James, this is Harry, and I'll take that one. I think the rubric was, as you mentioned, just a way to easily see through how we can get to 2026. But what we're focused on is the actual 2026 numbers, the operational limit of margin approaching 39%, EPS at 245, mid-floor leverage and a record ROIC in the neighborhood of 12%. And I think seeing the performance this year, and it's been six months since we introduced these targets, so we obviously now have better visibility to 2025 as well, just allows us to be more optimistic and more certain about our ability to obtain the numbers. So I focus a little bit less on any specific rubric and more on the four numbers that we've given out there. We are fully committed and optimistic about obtaining these numbers in 2026.
Mark Kempa: And James, I'll add to that. One of the cornerstones of that is, and we've reiterated today, is that we intend to deliver sub-inflationary unit cost growth. And as we've talked about in the past, we have a 300 million plus program in place. We are on pace with that. In fact, we continue to be ahead of our pace with that. So we increasingly feel more and more confidence around that. So we're lining up the pieces, but as Harry said, we're focused on those four key metrics at the end of 2026.
Operator: Thank you. Next question today is coming from Brant Montour from Barclays. Your line is now live.
Brant Montour: So the first question is on bookings, color. You guys gave some color and it was well appreciated. Maybe we can go one layer deeper and talk about 25 booking strength. And maybe you can talk about that through the lens of the different brands, the different geographies, the quarters. I know you said you're up in all four, but any quarter standing out and then you sort of demographics in your database, though I think that would probably correlate with your brands, but any extra color would be helpful.
Harry Sommer: Yes. So thanks, Brent, for the question. This is Harry again. I'll tell you, we've really fine-tuned our revenue management tools. So we managed to book in curve, we managed to maximize yield. And I can't say that we see any discernible pattern across the brands or across geographies or across, for that matter, the sourcing of guests that stand out for the positive or negative. Broadly based, everything is progressing exactly as we'd like it to be. Clearly, we continue to see this robust close in demand, which allows us to sort of reconsider our booking curves over time, because obviously we want to take advantage of it. We said before, we don't focus on record book position. We focus on record yield. I think the quote I made in last year's call is like, I can't take book position to the bank. I can only take book yield to the bank. And that's 100% of our focus. So get back to your question. We see good, solid, in line with our expectation bookings, both on a load and pricing factor for 2025, in line with the overall commentary we gave in setting our charting the course targets of moderate capacity growth, moderate yield growth, slump inflationary cost growth, as Mark mentioned, with the goal of continuing to improve our margin, drive strong cash flows, and de-lever our balance sheet.
Brant Montour: Okay, that's great. Thank you for that, Harry. And then the second question is on the booking curve. You guys said that you're in the upper end of the optimal part of your curve. I'm just curious if that optimal curve, that optimal point has evolved over time, pre-COVID versus post-COVID. And if you've had to recalibrate that downward at all, just because, you didn't want to leave money on the table, the strength of the demand you're seeing, and sort of again, an upward pricing environment and travel. Any extra color on sort of how you're managing that and what optimal means?
Harry Sommer: Sure. So I think I covered part of it in my last comment, but let me reiterate or react to, I think, both the sub points. I think overall, coming out of COVID, clearly there was some uncertainty, and we were looking to push the booking curve a little further in advance in order to take risk off the table. We didn't know what we didn't know. Clearly, we have now seen a few quarters in a row of robust close in demand, which is a little different from what we saw last year, where the close in demand certainly wasn't as good as we were hoping for, which has allowed us to beat for the last few quarters, as opposed to last year, where it was a little bit more challenging. So that being said, 100% are booking curve thoughts evolve over time. But I also want to stress, Brant, that booking curve, it's not one static number. It varies by itinerary. It varies by brand. I mean, you know this, but I say it for the record. And we have teams that look at this all day, every day, and take into account the latest information to set it. So the short answer to your question is, yes, we are further booked ahead than we were pre-COVID, but we don't think we need to have records. We don't think we need to continue to push the booking curve further, especially in line with this robust close in demand that we've been seeing the last few quarters.
Operator: Thank you. Next question today is coming from Steven Wieczynski from Stifle. Your line is now live.
Steven Wieczynski: So I want to ask a bigger picture question, if I can, to start here. And if we think about cruise yields historically, they've grown, call it in that low single-digit range. Based on some of the changes that you guys have talked about, and that could be cabin design, shorter itineraries, enhanced revenue management scale, all that kind of stuff, is it fair to think that, there's a good chance, you guys and probably the industry as well could start to see yield growth, well in advance of that low single-digit historical rate?
Harry Sommer: So clearly, Steve, it is our goal to grow yields as fast as we can. But I think the algorithm that we've discussed, many times of low to mid-single yield growth with low inflationary cost growth, et cetera, is what we're sticking to, to the time being. Obviously, we do everything in our power, Steve, to have yield go up as much as possible. But I think what we're prepared to look based on what we see, based on our crystal ball, for lack of a better term, is continue with that same algorithm we've been talking about for a while now. 2024 was a little bit of an unusual year in a positive way, and we're thrilled for it, and we're thrilled with our results. But I think longer term, that's what we stick with, low to moderate capacity growth, low to mid-single-digit yield growth, low inflationary cost growth.
Steven Wieczynski: Okay. Got you. And then second question is going to go to the cost side of the equation. And Mark, obviously, you kind of talked about that $300 million in cost savings between now and in 2026. And in your prepared remarks, you noted that you're going to exceed kind of that third goal of $100 million so far this year. So, as you kind of sit there and kind of continue to go through your cost structure, based on what you guys have identified already, I'm going to ask this in a way you might give me an answer, but is it fair to think when it's all said and done that $300 million might end up being low or conservative?
Mark Kempa: Yes. Good morning, Steve. So I certainly wouldn't want to get that far ahead of ourselves in terms of being low or conservative. What I will tell you is, we have done a very good job at identifying the goals that we have set out. And further, what we've said is this is not a one-time exercise. This is a multi-year journey. So, we are focused on looking at every process in the business from end-to-end, not just looking for any low-hanging fruit, all while protecting the guest experience and the product delivery. So, look, we're six, what are we, six, seven months into our stated goals and targets. We're feeling increasingly confident on our path toward that. And hopefully, early sometime next year, we can give further progress on where we stand if it's large or conservative, but we're feeling good with where we are today.
Operator: Thank you. Next question today is coming from Matthew Boss from JPMorgan. Your line is now live.
Matthew Boss: Thanks, and congrats on a great quarter.
Harry Sommer: Thank you, Matthew.
Matthew Boss: So, Harry, maybe could you elaborate on the strong momentum that you cited, any notable outliers by brand or region, and any signs at all of softening as you look into '25?
Harry Sommer: Matthew, I think I commented a little earlier on this, so I'll keep my comments on this short. Really, it's across the board. We're happy with all three of our brands. We're happy with all geographies. We're happy with all get-sourcing markets. It's hard to see any cracks. I don't want to get ahead of our skis. As I've mentioned before, we're focused on this low- to mid-single-digit yield growth, so my commentary is reflective of those numbers. I don't want to be irrationally exuberant, if you will, about 2025, but we are absolutely happy with what we're seeing today.
Matthew Boss: Great. And then, Mark, maybe just to circle back to your 250 basis point yield-to-cost target spread, maybe how best to think about the linearity of cost next year if yields were to come in above your initial plan?
Mark Kempa: Yes, good morning, Matt. So I think we've always said, generally speaking, when we think about our 300 million plan. Generally, we laid it out as roughly about 100 million per year, right? That may vary up or down marginally, but I think something that's important to note, and we've probably been pretty public about saying this, is that if we're able to exceed that low-to-mid-single-digit yield growth in a year, that does not necessarily translate that we are going to go and spend more money. We are focusing on right-sizing and leveraging the scale of this business, and part of that includes right-sizing our unit cost base. So, we're focused on that, but that does not have any direct correlation in terms of outperformance on yield.
Harry Sommer: I mean, it's really, that point that Mark makes is really important. These are independent factors, where we're targeting the low-to-mid-single-digit yield growth, we're targeting below-inflationary cost growth. If yield is better or worse, seeing how the year shapes up, we will continue to target below-inflationary cost growth, and we've seen a culture change in the company towards this balance of return on investment and return on experience, which we talked about at Investor Day. We are super focused and passionate on delivering a great experience, but on things that guests truly care about and things that generate positive ROI for the company.
Operator: Thank you. Next question is coming from Connor Cunningham from Melius Research. Your line is now live.
Connor Cunningham: I'm going to ask the yield question a different way, maybe. So when you say low-to-moderate yield growth, should that be viewed as kind of your core pricing outcome? The reason why I ask is that every cruise line has talked about how they've left money on the table. The question here is just more around what's the swing opportunity as you get better at yield managing now that you have bookings back to historical levels? Thank you.
Harry Sommer: I think there were two or three sub-questions there, so I'm going to try to do my best to remember them and answer them. Yes, I think most of the yield change that you're going to see in 2025 is going to be on pricing. I don't expect any material change in occupancy. Of course, we're not giving 2025 guidance yet, but I think essentially we are fully sold on a cabin basis, so I don't see that swinging much. If it does swing, it's based on the number of children that we take primarily on the NCL brand, which doesn't meaningfully contribute to revenue from a big picture perspective. The second part of your question, someone remind me, was about swing opportunities to get better at revenue management. How do I say this? There's no evolutionary changes to our revenue management that's coming up. We just do our best day in and day out to get slightly better at what we do, which is part of what builds to our stated algorithm of low- to mid-single-digit yield bill, keeping in mind that we do continue to increase the capacity of the company by between 4% to 6% a year as new ships come online. So I don't see huge opportunities here. Obviously, every day we work, and our goal is to maximize yield. I think there's another component, which is on-board revenue, which doesn't get talked much about because revenue management is primarily a tool that talks to ticket price, but we are trying, or I should say we're in the opening phases of doing better revenue management on our on-board product as well. And I think some of the close-in strength that you're seeing in Q3 and Q4, although it's very hard to parse it through the financial statements because of the way we bundle our product, but some of the strength that we're seeing in Q3 and Q4 is also, not only, but is also around our better revenue management, so to speak, on the on-board revenue, providing guests more opportunities, better marketing, better experiences to purchase on-board, which is generating revenue for us as well.
Mark Kempa: More pre-sales.
Harry Sommer: Thank you, Mark.
Connor Cunningham: That actually dovetails into my follow-up question. What percentage of your customers today are doing pre-booked on-board spend? And then, what's the threshold?
Harry Sommer: Nearly all of them buy something in front of the cruise, if you will. If you think about the robust things that we offer between drinks packages, dining packages, spa, shore tours, and the list goes on and on. I think those are mostly the big ones. Nearly every customer buys something before they get on the ship.
Operator: Thank you. Next question is coming from Vincent Ciepiel from Cleveland Research Company. Your line is now live.
Vincent Ciepiel: As you look out over the next 12, 24 months as part of your long-term plan, how are you thinking about the trend line in occupancy? I know you, I think are a couple points shy of where it was historically, and some of that might be mixed. But as you're adding new Norwegian hardware in 2025 and 2026, do you expect occupancy to be a tailwind to yield growth in the next couple of years?
Harry Sommer: I think I commented a little bit about occupancy in an earlier question. Our ships are essentially full from a cabin perspective. So the changes that we may see in occupancy, either positive or negative, would be mostly around third and fourth in the cabin, primarily children on the NCL brand, which don't really generate much revenue for us. So I don't see occupancy being a tailwind or headwind from that perspective going forward. I expect it to remain relatively stable, given our deployment, at least through 2025, where our deployment doesn't shift. Remember, we have talked about a slightly larger reliance on the [Caribbean] [ph] going forward, but we won't really see that until late 2025, but primarily for the 2026 results, somewhat based on the new PO that we're building at Great Sturkey, which will allow us to double the number of passengers we bring there in 2026 compared to more recent years. But I don't really see much happening on occupancy in 2025.
Vincent Ciepiel: Great, thanks. And then another on costs, I think you called out one cue, having some headwinds on dry dock and repositioning days, which I think also maybe hinders yield a bit. But when you think about the full year impact on costs of dry docks this year, I believe it's about three points. When you look into next year, is dry dock, headwind, neutral, a tailwind to cost growth? Is this the new kind of baseline to utilize in years ahead?
Mark Kempa: Yes, good morning, Vince. Yes. So you're absolutely right. On an annual basis, our dry docks year-over-year are relatively the same. So this is generally our consistent run rate post-COVID. Why we called out Q1 is because there is some timing issues within the year where even though we only have six more dry dock days than we did in the prior year, it actually represents 50% more capacity days. So that's not necessarily a call out in terms of cost. It's more of the impact that it will have on our overall comps and the yields for the first quarter. But again, that evens itself out over the course of the year. And that was why we had called that out in our prepared remarks.
Operator: Thank you. Next question today is coming from Robin Farley from UBS. Your line is now live.
Robin Farley: Great. Thank you. I just wanted to go back and clarify, Harry, when you were talking about the long-term goals that your focus is really on the number in 2026, were you kind of suggesting that not every year would necessarily have the yield growth be 2.5 points higher than expense growth? So in other words, this year was a lot better than that piece of the algorithm. So next year could be less than 2.5 points. Was that what you were sort of communicating when you said your focus is on the absolute number in 2026, even if not every year looks the same to get there? Is that how we should interpret that comment?
Harry Sommer: I think, Robin, that that's broadly correct. To be clear, we're not providing guidance for 2025 today. So I'm not going to comment on a specific number. But we're focused on these long-term targets for 2026, not on a specific spread in 2025 or 2026 individually. Of course, we don't expect the results to vary that much in these two-year periods based on the visibility we have today.
Robin Farley: Okay, great. Thank you. And then just also thinking about 2025, and you've mentioned expenses growing kind of sub-inflation. What do you broadly think of as inflation sort of today when you refer to that? Thanks.
Mark Kempa: Yeah. Hi, Robin. So broadly speaking, when we look out, inflation obviously is a bit volatile. But something to keep in mind, it's not just U.S. inflation. We're a worldwide operator. So we look at global inflation. So we generally are thinking somewhere around the 3% zone based on what we see today. Now, obviously, that may change up or down as we go through time. But generally speaking, that's typically what we would associate as part of our longer-term plan.
Harry Sommer: So thank you, Robin. And Kevin, I think we have time for one more question.
Operator: Certainly. Our final question today is coming from Patrick Scholes from Truist Securities. Your line is now live.
Patrick Scholes: Harry, you mentioned just very briefly during this call about what's happening in the Great Stirrup Cay. Can you give us just a little more color where you stand with progress, any further thoughts on specific timing, and anything you can share above and beyond what may be next after the pier? Thank you.
Harry Sommer: Sure. Happy to give you color on progress and status. So we announced that we were putting the new pier there earlier this year. I've been personally in Great Stirrup Cay a few times to see how things are going. And we feel really comfortable that we will remain on schedule to open the pier sometime in Q4. The team is really focused and doing an incredible job at building it. We're really happy to get that pier in because, as I mentioned earlier in the call, we believe it will allow us to utilize the island more, specifically, in the winter when it's a little bit more wavy in that region, and plan to double the guests that visit that island starting in '26 compared to where we are today, which should generate higher guest satisfaction, higher revenue, higher repeat rates. It becomes a virtuous cycle, so to speak, from that perspective. Listen, past that, we think the island's great. We have a great private beach. We have the great, I forget what it's called. I should better -- Silver Cove. Which is a great private, even-like experience on the island as well. Zip lines, jet skis, lots of interesting things for people to do. But I'll tell you, like with every asset in our portfolio, we are constantly reviewing this balance of ROI and ROX to see what we can do to get guests a better experience that will drive ROI. Have nothing to announce today, but we continue that analysis and that view towards the future.
Harry Sommer: Okay. I think since your question was short, James, Kevin, excuse me, we'll have time for one more question.
Operator: Certainly. Our next question is coming from Ben Chaiken from Mizuho Securities. Your line is now live.
Ben Chaiken: Just one quick one. At the Investor Day, you flushed out a number of examples on the cost side. Would love any update here, if there's anything to share, and then specific areas in '25 that you see as opportunities. Thanks.
Mark Kempa: Yes. Good morning, Ben. So look, it's very consistent with what we called out there. It's around looking at all of how we deliver our product from start to finish. Again, on the basis of we do not want to impact the product delivery or the guest experience. So, we are looking at every facet of the business, and more importantly, we're focused on things that the guests either don't value or that are invisible to the guests, so that we can ultimately provide more value to the guests. So, nothing, significant in terms of the overall categories to share, just other than we are looking at everything, whether it's on our ship side operations or at our shore side operations, in a very methodical and disciplined manner.
Ben Chaiken: And then if I can squeeze one just very quick one in. I know you give us the year-over-year impact from dry docks, '24 versus '23, but any chance you can just high level give us some color on the distribution of dry docks in the year on an absolute basis, meaning 1H versus 2H?
Mark Kempa: Yes. I think, Ben, we can probably follow up with that post call. We can certainly give you some color on that.
Harry Sommer: So, once again, I want to thank everyone for joining us today. We were very pleased with our report, and hopefully you were as well. We'll be around today to answer any questions you may have. Thank you all. Happy Halloween. Happy Diwali and have a wonderful day. Bye, everyone.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.